Christoph Vilanek: Good morning everybody. Thanks for joining today's conference. It's my last one on annual results, but it's a special pleasure to present the record year 2024 to you. As always, I will start to give an overview on like the main development and then Ingo will give a detailed view on the financials. There's two numbers, which I'd like you to be aware of. The first number is, it's 196,000 Euros. This is the EBITDA that we generated per FTE. And the other one is I think also remarkable number, it's 961,500 Euros. That's the free cash flow that we generated on every opening day of our shops over the full year, so on 302 days in 2024. I think those are remarkable numbers which we do not report like that, but I did a little calculation the last couple of days and I thought they're worthwhile to mention. Having said that, let me start with the overview on a successful year. I think as you all know, we have created the new regime concerning the network operators contracts. So the mobile communications sector is not only fit for the future, but also in Q4 and we will elaborate that in a couple of slides. We did really well. We did better than we did for the first three quarters. And the second thing is we started to see an EBITDA contribution, and also on that we will have a couple of more thoughts and statements following it up. It was the strongest postpaid net adds ever since 2018. And once again waipu netted just under 600,000 new customers on net adds, which is about the double of the equivalent of Makedonski. So the story remains valid that we are doing about 200% of what Makedonski does. On EBITDA and free cash flow, I already gave two ratios but the majority of you will have seen that the proposal for dividend is now up to 197 Euros, which is the equivalent of 80% and also we are planning a share buyback program for the full year. That's coming from the summary, going into the four key numbers, subscribers crossed the 10 million amount or 10 million number plus 6.9%; revenues are up 4%; EBITDA 521.5 million with a special effect which we will explain; and free cash flow is up to 292, which is also up plus 5.7% to 2023. On the mobile, yeah, as I've said and as you are all well aware of, we have signed long-term contracts. These long-term contracts are not changing the margin as such, but it changes the way to plan, the way to do campaigning and safety or security that we can plan long term. Specifically with Telefonica Deutschland, we have seen in the fourth quarter an increase of net adds specifically on Telefonica. For sure more on the lower end of the market, but this is what we are aiming for because we were for years and years missing Telefonica’s SIM only portfolio, which is now available to all our customers, and for sure and finally we have 5G across the board. Second thing and I think that is certainly also helping a lot, we have after the repositioning and framing everything under the brand of freenet we've done a lot of better and more exhausting marketing campaigns. Specifically, we did a lot of promotions and sponsoring in German Bundesliga, German Okal [Phonetic], the Icon League which is a format for younger people, but also the Handball Championship, European and world championships. And all the numbers that we can see show that brand recognition is increasing. But not only that, more importantly freenet becomes for more and more customers first choice and remains in the relevant set of choice. I think those marketing campaigns have really paid back and also contributed significantly to the success. If we look at the channel mix that then specifically the captive channels have increased their volumes and I think that is also important to know that our dependence from third party is not increasing but in small effort stepwise decreasing. Part of it is the, what we call the APS, the Assisted Personal Shopping, so the full integration of our captive channels on and offline. We have 100% the same offers in the shops as we do on our own websites. And once again this allows better and faster steering of offers and a faster reaction on competition. Looking at the pure numbers of subscriptions we end up with plus 182,000 net adds, which is far beyond the original guidance. And you all are aware that this came mainly from the last quarter with plus 103 and this is a remarkable step up based on new tariff plans in SIM only with TFD full size portfolio. We have, for sure I wouldn't say overspent, that we have spent a lot of money in the fourth quarter. We also wanted to test and see how fast we can grow. You've all seen our guidance for this year. I think the fourth quarter shows that with a little bit of energy, with a little bit of more spending on marketing side but also online [Indiscernible], we are very successful and we can easily step up to this net add number that we see here in the quarter and which is also our goal for this year with a stronger net add guidance than before. Coming to IPTV, waipu, what did we see here in the first quarter? What was the specific of the fourth quarter? We have -- this was the fourth quarter where Telefonica did promote their own product. So we saw no net -- no gross add contribution from Telefonica and we also saw some churn from their customers that are on the waipu product. We have agreed with Telefonica not to disclose any specific numbers, but when we look at the current sales numbers for Q4, we can share with you that our net sales were still beyond the fourth quarter of 2023, if we do not count or if we take into consideration the loss in sales from Telefonica and also the churn. So we are very, very positive about this. Overall it is doing really well and we also have done, which is already in 2025, we've just recently increased the prices by 2 Euros and once again we did not see any reaction on customer side. We did not have additional churn or so. Certainly the goal for 2025 for us is on the one hand side to grow according to our mid-term ambition. But more importantly we want to show that EXARING/waipu.tv will contribute significantly to our EBITDA because there were still doubts also from your side express that waipu is a good product but cannot contribute EBITDA. So we have seen a positive result -- positive EBITDA contribution in 2024. But in 2025 we will focus not only on pure growth, but also on EBITDA and free cash flow contribution. And fourth quarter was like proof of concept for us and in the first quarter we see that EBITDA is coming in. So it's a mixed goal for the team there in order for everybody to understand the products will contribute, as we have foreseen this in the long-term plan for 2028. The total subscribers are now on 1.940 million. We missed my personal ambition of 2 million somewhat. And I know that everybody will ask, is this a fatigue on the market? I think also Deutsche Telekom made some comments there. I would like to remember you that or remind you that we have always said that the [Indiscernible] will have an impact, but it is a kind of a silent impact. It is generating an overall sentiment towards changing. But we did not -- did never expect kind of a flood of new customers, but we see that a constant inflow will continue, so we will definitely hit our midterm ambition, which we have communicated also on waipu not only for 2028, but also the step up in 2025, 2026 and 2027. So we're very positive once again since this year will go first significant contribution the EBITDA side and this is also necessary because on the other hand side we will not. Even though we don't talk about it a lot, we know that freenet TV is now down to 500,000 subscribers. We are still losing subscribers. These customers step by step move out. We still do not see a floor there, but a slow decrease of customers is continuing for the full year. The last page, page number 10, that's the one on ESG. I think the transition plan for Scope 1 and 2 is adopted. We're doing really well. We will have reduced our CO2 emissions by 63% by 2023. The major levers are our fleet of cars that we do not only have service cars but also we offer to all our individual employees cars. This is doing really well and we have done. We are trying to migrate all our locations to renewable energies. Main actions last year was to establish the eCar policy. You can imagine how difficult it is in Germany. Germans are really very much into cars, but we've put that through. We are not the most popular Executive Board team anymore, at least within our own stuff on the car side, but they had to accept it. And we have also installed it on some of our facilities at the PV system. So we are on track and doing really well, I think. Having said that, I would like to hand over to Ingo to give you a deeper look into the numbers.
Ingo Arnold: Thank you, Christoph. Good morning everybody. I start with the group overview on page 12. I think definitely a conservative headline because here we linked the headline to the adjusted EBITDA where we do not count the sale of the IP addresses. So I think, and therefore, yes, it was a transition year and without the IP addresses, the EBITDA was coming in on a stable level only. But I think we sold the IP addresses and therefore I think it's definitely not wrong to talk about a record year with a record EBITDA where we could increase the EBITDA to more than 520 million. So I think, yeah, it was a very, very good year. In terms of revenues, we saw the strong increase of waipu/ EXARING revenues. On the other hand, relatively stable mobile revenues. In the gross profit, I think here we saw the biggest move from 915 million to 974 million, which is resulting, I think, from one-third from waipu, one-third from mobile, one-third from IP addresses, but all in a very, very successful year and we are very happy that we can present these figures today. On the mobile side, next page, we see what I already announced, a stable development of revenues in Mobile. The most profitable service revenues could be increased even in the quarter. But yeah, the increase was only a slight increase, but I think what is not here reflected is the customer intake of 2H24, or only partly, therefore we do expect some positive effect in 2025 here, even on the service revenue side. The gross profit is higher, all in is higher than last year. I think maybe a little bit disappointing in the quarter. But I would like to remind you to what we published in Q4 2023, where we had an exceptional performance bonus. So I like to remind you that you were so surprised in Q4 2023 that the result was that good, so I think this makes it more difficult here in Q4 to show an increase. So all in, therefore, on the quarter, it's a decrease of gross profit, but if you look into the full year increase of more than 20 million and if you build an average of gross profit from the 703.4 million, then you have an average gross profit per quarter of something like 175. And if you compare this with the gross profit of 4Q24, which is more reasonable from my point of view, you see that the gross profit is higher than in the average of the year, even in the quarter. On an EBITDA level, not all of the gross profit is arriving here. I think it's a development what we saw during the whole year. So, on the one hand we see basic effect. On the HR side, we had to increase salaries based on the inflation what we saw here in Germany in the last years, this was one negative effect. On the other hand, also not surprising, bad debt went up during 2024 and so both effects were negative for the EBITDA and therefore not all of the gross profit was arriving there. Coming to some KPIs of the mobile business, the ARPU, yeah, I think what we see here, I would still say it's a stable ARPU, but what we also see is that the development, what we saw in the third quarter, that it is repeated. So we see a small decrease in the ARPU of 20 cent for the whole year, it's a decrease of 10 cent. So yeah, I think we have to look what happens during 2025, but, yeah, maybe there will be a small decrease by 20 cent also in the next year, what I would call stable, but I think with the increase on the net add side this will be more than compensated. With the mobile subs, I think Christoph already commented on it. The digital lifestyle revenues, maybe slightly disappointed in Q4, but I think salespeople it is difficult to sell everything and so what we saw during the fourth quarter was a very strong focus on postpaid contracts, so therefore we have the very, very successful quarter in increasing the number of gross adds on the mobile side. And so therefore maybe the focus was not 100% on digital lifestyle revenues but all in, it is still something what we forecasted a stable digital lifestyle revenue. Moving to TV and media, what we see here now is the increase in the revenues to nearly 400 million for the year. Nearly 50% of it is based on waipu.tv now. So you see the increasing trend here. On the gross profit side, it is also very similar. The increase of the gross profit is based on the increasing number of customers at waipu and of the increasing service revenues, what we see here. And in EBITDA, we do see the decrease for the whole year, but we see stable results in Q4. The decrease is based on a restructuring program. What we did with media broadcast during the year on the one hand. On the other hand, also on the HR side, we increased the number of customers with EXARING. So these two negative effects on the personal side, on the other hand, it is something what we discussed more than once, the increase of customers also increased the marketing cost or/the acquisition cost. This is what we did, this is what we announced. And because of these increased cost we have the strong increase in customer numbers. So I think we are very happy with the figures what we see here because this is definitely something what we budgeted from the beginning of the year and so therefore not surprising for us. The free cash flow on the next page. Yeah, also here you see some effects from the more aggressive customer gain. In the fourth quarter, you see the increase of working capital, which is nearly 72 million. It is in the year before it was 7 million less. So yeah, I think this is normal that from IFRS the acquisition cost will be shown over the period of the subscription, but the cash is already shown at the beginning, so therefore you see the negative effect here in the working capital from the growth in the fourth quarter especially, but this will definitely help in the future then. On the taxes side, you see -- I think we forecasted for years, we forecasted higher taxes and increasing taxes. And at the end of the year very often we still had low figures. So now maybe for the first time we are near to 40 million, but I think this is normal. The prepayments, what we do have to do are increased because the profit is increasing. So I think this is a normal effect. We do not like it that much to pay taxes, but I think we have to do so. On the CapEx side, we saw a very low figure here in 2024 with 38 million. I would not like to talk about phasing, but I think it is not a normal level what we saw during 2024, therefore we expect an increase in 2025. Lease payments nearly on the same level without Gravis. So they were higher in earlier times but now they are on a normal level. With the 60 million interest payments, no big changes, which leads us to a free cash flow of 292 million, which is totally in line with the with the guidance what we gave. On the right hand side, what you can see here is what we like to do with the money -- with the cash what we generated. I think again we stick to our promise to pay out 80% of the free cash flow as a dividend which is calculated to 197 now for the year 2024. I think it is important to say that 12 cents of the 197 is related to the sale of the IP addresses, so without it, it would be 185. Where we also have potential is to do a share buyback. I think we also have discussed not only once in this circle here. So I think we see a potential to do a share buyback on the strong figures up to 100 million strong figures. You can see on the next page. I think maybe what is important to mention here, you see the revolving credit facility. I think this was originally due at the end of 2025. We pre-renewed it up to 2029. So we, here on the cash side and on the financing side, very safe up to 2029. On the balance sheet, on the right hand side, I think still very strong figures, very low leverage, very high equity ratio and a good cash balance is what we see here. Coming to my last page here, it's about the guidance 2025. Yeah, I think the headline there is no mistake that we write ambitions because I think it is on the one hand the guidance is totally in line with the ambition what we gave at the end of 2021 for 2025, on the other hand it is also in line with the ambition what we published in November for 2028 because we are on a path to reach it and I think we are. What we guide here for 2025 is fully in line what we expected during publishing the Ambition 2028. So, on the group level, we guide revenue a moderate growth . Here again we guide an EBITDA of 520 million to 540 million. What is important to know here, this is without the 14 million of an additional IP sale at the end of this year, which is already signed with a partner. And then we have a free cash flow, which is including the IP addresses, and where we guide a range of 300 million to 320 million. Why have we left the IP addresses in? Because from our point of view, it makes it much easier for all shareholders to calculate the dividend because we will pay out or we will calculate our 80% dividend definitely on the base of a free cash flow, including IP addresses. What we also did first time, we also guided the segments to make it even more transparent for you. We have a revenue here with moderate growth. Also we see an adjusted EBITDA which is similar to the reported EBITDA here of 420 million to 440 million. And we forecast postpaid customers to increase again with moderate growth. I think we have to wait and see what happens. Christoph already mentioned that the fourth quarter was very strong. What is normal is that the first quarter could come in a little bit lower if you have such a record quarter. Let's wait and see what happens. But therefore we are here on a safe level to guide a moderate growth. From the postpaid ARPU, I already explained something around the ARPU. I would here guide a stable development. Segment TV and media revenue noticeably a growth in the EBITDA 115 million to 135 million, which is a strong increase here. freenet TV, again a decrease, we still do not see that we find a flaw here. And with waipu.tv subs we see a noticeable growth even with losing Telefonica customers here. So therefore I would hand over to the moderator again to start the Q&A.
Operator: Thank you. [Operator Instructions] And the first question comes from Polo Tang from UBS. Please go ahead with your question.
Polo Tang: Hi, thanks for taking the questions. I have three. The first one is can you talk through what's happening with competitive dynamics in the German mobile market? Are you seeing signs of the MNOs using more of their own direct and online channels rather than using freenet? So I'm just asking the question, as we've seen a number of the MNOs do cash back offers and aggressive online discounts. And can you also just kind of maybe talk generically about what you're seeing between the different brands and the different operators? Second question is just about your mobile postpaid net adds, they were strong with 103,000 adds in Q4, but can you give a rough sense in terms of how much of that growth was being driven by the new brand Happy SIM? And my final question is there's been a lot of commentary on the need for consolidation in the telecoms market in Europe. There have been comments from Mario Draghi and his EU Competitiveness report earlier this week. There were also comments from various operators at Mobile World Congress on the topic as well. So what's your view on whether there will be consolidation in the German mobile market? Thanks.
Christoph Vilanek: Yeah, thanks Polo. Thanks for the question. First, on competition, I mean what did we see in the fourth quarter and what do we see right now? I think everybody was a bit afraid or shocked when we saw the so called unlimited offers of British [Indiscernible]. We did an immediate survey on our customers whether they understood what the offer was because for those of you that are not living in Germany, we saw a big billboard ads sticking unlimited 5 gigs, 10 gigs, 20 gigs and it turned out that customers did not fully understand what this was all about. Let me share one number with you. If we look at the average of our base, then the monthly data consumption averages to 4 gigabytes. So quite obviously the thought of this offer, this so called unlimited offer, was that people would understand this is kind of like full freedom, but they will still continue to use what they use. Once again we did surveys on that and we've seen that people did not understand it, which was good in a sense. So I think that -- I wouldn't say it failed, but it was not the heavy impact that some people watching the market would foresee and also on our churn and intake it was not reflected. So that's the first thing. The other one is that we see that on the upper end of the market, which I would consider the 30 Euro plus tariff plans, we see that there's still a lot going on. Deutsche Telekom announced that they will have a broader portfolio there. We are right now installing it in our Systems, preparing for 1st of April launch. I think at the end of the day Telefonica is doing a good job. DT continues to position itself as premium on the upper end of the market. United Internet, even if I look at the net adds, is struggling a little bit with their proposition and also the expected launch of their network and positioning as a premium network or advanced network or something like that is still not visible. At least we do not see a strong buildup of the network anyway. And I think Vodafone is for sure the one that is struggling most. They have challenges on the networks, they have challenges in the offer. In such a situation where one is struggling and two others are doing a fine job, you see the strength of freenet. We take advantage of that situation and we also take advantage of a situation where United Internet is trying to inflame the competition. Then suddenly new tariff plans are also offered to us by the operators and we are fighting back. So I think that is – overall, I see this market dynamic as positive for us, not so much as a challenge, but very much kind of like the old game of David to go that we are David, but we're doing really well, as you can see. So, overall, I think the market is doing well and there's also the cash back offers that you have mentioned. We do cash backs ourselves. We have tested them on our collective online channels and we realized that once again like the regular customer is struggling to understand how this is working. And I'm happy about it and Ingo is happy as well because cash back offers obviously impact free cash flow significantly. So they are there and there's a segment where we operate with it, but it's rather small. Overall, as I mentioned before we were -- that also relates to what Ingo said about the digital lifestyle services, the additional net adds that we have generated in Q4 came from our own online channels. And on those channels cross selling is not happening during acquisition but as a follow up. So I think that these new customers will only over time also create digital lifestyle revenues. So to kind of round it up, I'm not seeing a big change in the market. I'm seeing -- depending on the individual situation, I see the competitors struggling and trying to position themselves, but not with a kind of like market changing impact. You've asked how much is Happy SIM? I wouldn't think Happy SIM is an outstanding contributor. We're doing was a long fight and a long struggle and challenge to build up a white label solution for online shops within freenet, finally we are there. I think we're opening another tool next week and the week after. So in general more widespread online service offering makes sense. We do that very cost efficient and half automatic. The shops look this, they don't look the same but like the backbone is very much the same, which are trying to get more visibility on basically Google search and any social media by having more and more of those shops. In terms of consolidation, I cannot really comment. I've also heard what the authorities said, I heard what Strahil said and I'm looking to the other countries. I cannot believe the reconsideration is viable for Germany. I think there is still a lot of rumors on like whether United Internet will really continue to build the network or whether they find a way to do a network sharing with Vodafone. But for both sides, both denied and both talk about continuing their own their own pathway, so it's hard for me to estimate what’s really happening, but I do not see consolidation to be happening in Germany. And I mean the DT showed reasonable numbers. Telefonica I think showed very good numbers. So I think overall the market is stable and quite rational for the moment.
Polo Tang: Thanks.
Operator: The next question is from Ulrich Rathe from Bernstein. Please go ahead with your question.
Ulrich Rathe: Yeah, thanks very much. I have three short questions. I think the first one is Ingo on the restatement, the accounting changes that you highlighted in this appendix slide that you didn't go through with the presentation. Two questions on that. Could you explain what linearization means in this context? And then of the performance bonuses and then the other question regarding that, did the restatement raise or lower 4Q EBITDA compared to what it would have been without the changed accounting? My second question is the 4Q performance bonuses were lower and you rightly pointed out that you highlighted the exceptional level in Q4 of 2023. But could you talk a little bit about the drivers there? Is essentially that this was a bit of an accident and that the hurdle was set to low and the network operators sort of widened up and then raised the hurdle. Or was there an underlying performance shortfall versus the fourth quarter of last year that stopped you from achieving similar results also this year because the thing I'm struggling a little bit with is you obviously have very strong intake. I understand there's a lot of low end intake in there, but still why the performance bonuses on such a strong intake overall would be so much lower isn't entirely clear to me. And then the last one is for the share buyback, what is the required? It's not really an announcement of a share back you're saying you're thinking about it. So what's missing in the thought process before you can say here's a share buyback announcement. Thank you.
Ingo Arnold: Thank you, Ulrich, for your questions. Basically, I do not like restatements, but as you may know, is that for the first time in 2024, we had a new auditor. So we thought it could be a good time to ask behind everything and this is something what we did and, therefore, what you can see on page 21 of the presentation in the backup, I think the result is -- this makes me happy, because all what we see here is also with the new auditor that the necessity for restatement is very, very small. And you especially asked about the linearization of mobile number portability bonuses, what we did in the past, or in earlier times, or what was normal in the market was whenever there was a when you gained a new customer and the new customer used the -- wanted to use the old mobile number what we already used before, then he gets a payment or whatever of something like 10 Euros, 15 Euros, 20 Euros, and this payment has increased over time to something like in some cases, 100 Euros. And therefore, when we discussed it with the auditor, it was the decision that if this amount is that big, it is a part of the acquisition cost. So what we did before is we showed the cost for this bonus, this payment to the customer of Euro 10, Euro 20, we showed in as cost upfront. But if it is acquisition cost as normal, we have to show over the period of the contract to linearize it over the period of the contract. So therefore, we had this positive effect in 2023, where we restated it. And so we are in a normal situation in 2024, and it would be even slightly positive in 2025. So I think this was the situation here. Then you asked about the Q4 bonuses and you asked about what is the accident. I would say, even if normally an accident is not positive, but I would say the accident happened in Q4 2023, when we get a really, really high bonification and this was not repeated in 2024. So I would say the accident happened in 2023 and I already tried to explain it with the average gross profit what we gained during 2024. And therefore, I would say this is a normal level what we see in the fourth quarter and the accident happened in Q3. Then you asked about the share buyback. It needs definitely the allowance from the Supervisory Board here, what we do not have yet, because it is only preliminary figures what we present today. So we will have final figures and final discussions with the Supervisory Board at the end of March.
Ulrich Rathe: Thank you. Thank you very much.
Operator: At the moment, there are no further questions. [Operator Instructions] And we have one more question coming from Adam Fox-Rumley, HSBC. Please go ahead with your question.
Adam Fox-Rumley : Thank you very much and thank you for the call. I had two quick ones on the TV and media business, please. The first one was on the range of EBITDA that you've guided. I suppose if you could just talk a little bit about what gets you between the low end and the high end of that range. And I suppose related to that, the balance that you have between investing in market. I know you talked about a need for greater profitability within the business and to show that, but clearly you're also getting returns on your marketing as we've discussed over a number of years and so the balance between that marketing and the customer growth that you're experiencing. And then the second question was on freenet TV, I hear your comments about the base continuing to decline and there being no floor. I mean from an operational perspective, are you now -- have you kind of given up to a degree on creating a floor for those customers or, I mean, are you happy for that base just to kind of ameliorate away? I suppose is my question. Thank you.
Christoph Vilanek: Yeah, thank you very much for the question. But I mean giving up is no choice. We are doing and the team is doing all kind of marketing not to lose even more customers. There is retention activities. There is still advertising going on in kind of part of this small scale. And the entire media broadcast business is -- the entire media broadcast as a corporation is working on adding new businesses into the system. But still we ought to respect that, on freenet TV we have less customer interaction because a bigger proportion of those customers do have vouchers, so they are anonymous to us. We cannot address them as good as we can do it in any other part of our business. So we have to respect this case. Let me maybe elaborate a little bit on what we do with Media Broadcast. Ingo mentioned it, we took out about 15% of the staff in order to adjust to the new needs and necessities. We have built a plan for new business development. We have about five new products that are currently in a testing phase. This is 5G broadcast. This is a couple of other things on the CMD side. And there is also the trial to find new fields where we can deploy our technical abilities, our nationwide field services. We have signed deals with a couple of loading companies for electric cars because they also need nationwide field service. So we're doing a lot of stuff there. On business development side, we have a clear pathway on developing new businesses as well as growth fields, but we are still humble on an estimate there. So we calculate internally with, I wouldn't say no success, but very limited success and this is why the numbers look as they are. We are conservative on our outlook for freenet TV and for media broadcast as a total. On the waipu side, well, for this year, I think in our -- and Ingo correct me, but I think we're looking for, by the end of 2025, we want to be on 2.4 million subscribers for waipu and we are aiming for a EBITDA contribution bigger than 30 million in the full year. It is driven by two things, one is increasing prices and, b, is increasing also advertising reach. But we also understand that the market is -- how can I say that, we're spending money on customer acquisition, but we do not overspend. We do not see this market right now as a land grabbing market where you need to invest heavily and be the first and the fastest. It's more like you, stable, you do a customer acquisition so that we know that lifetime profitability is a given. We have spent last year an extra of 20 million Euros in marketing. We will stay on the same level, so we will not pull back, but we will not do an over-rush because we don't see competition, any competition coming in and trying to get market share at any cost. So I think we take a normal approach or rational approach, but we also -- I mean that is kind of like also educating the team with the waipu organization to bring money back to us. So yeah, I think that's it. I think we're going to go for it, we're going to go into the market, but we see that also some of the drivers that we have seen in the past, the launch of Disney, the launch of Paramount, all these things, those people have been quite disappointed about the German market. But the nice thing is that linear is still the name of the game and we are doing super well there. And we also see that we have signed a deal with [Indiscernible] on advertising sharing -- we do technical service that they can do targeted advertising on our customers and that is all very promising, but it's certainly the first big wave, I would say, is a little bit -- is a bit slowing down and we adopt that in our financial planning and budget.
Adam Fox-Rumley : Thank you, Christoph. If I may just ask one further question. Obviously the company has clear plans for 2025. The framework is in place through to 2028. Are there any decisions that you feel at this stage you are leaving to Mr. Harries, your successor, or is that something for him to tackle as and when he gets into the seat, or is there -- I don't know whether you can talk to that at all, but I thought I'd ask. Thanks.
Christoph Vilanek: I'm not sure I understand the question. Can you be a bit more specific?
Adam Fox-Rumley : I mean, I just guess, are there any -- are there right items on the agenda for the company more broadly that you've decided to leave to your successor to consider, or is that not really the way that it's working and he'll just take over as and when?
Christoph Vilanek: Well, I think the agenda is quite clear. I think we continue the strategy as it is. There's a very clear path on how to make full benefit on the three contracts that we have with the network operators and it's also very clear that how we continue on the TV side. When we did -- I'd like to share it with you. When we did the internal communication about this record year, we also communicated to the leadership team that we accept that without the extraordinary effect, the EBITDA was the same as in 2023, which shows that the market is getting even more saturated and we need to be smarter and leaner and cleaner than we did in the past. And I foresee more cost consciousness as we did in the last two years. I think doing record after record creates an internal sentiment which is like we are unbeatable and EBITDA goes up and we can spend more money on things. And I think Ingo and myself, we were very clear on we go back to a bit more cost discipline and this is necessary. So in that sense, I think we have a clear agenda and I think there is no change necessary in order to fulfill our mid-term ambition. I think Robin Harries is coming from 1&1 [Phonetic]. He has five years of experience there. He did a lot of digital marketing and digital and customer acquisitions. I think he will certainly not question, this is what I've discussed with him already -- he's not questioning at all the brick and mortar piece, but I think he will bring new flavor to the digital thing. I guess we are average on digital. We are great on the mix, but we are average on digital. So I think he will improve the digital piece and that will help in the future on digital lifestyle as well as TV as well as mobile. So I'm not expecting a change and I'm not expecting him to need to change the agenda. So it's all very well set up and he tells me that he's comfortable with it. He's very much aware that for the next two years it's basically continuing the policies that we have established and also the direction follow up, the direction that we have set up, but certainly put his specific experience into perspective on the digital side.
Adam Fox-Rumley : Really appreciate it. Thank you.
Operator: The next question is a follow up from Polo Tang, UBS. Please go ahead with your question.
Polo Tang: Hi, thanks for taking the follow up. So first question is really just on waipu.tv net adds. I mean if I look at the trends over the past three quarters, it was 191,000 in Q2, 131,000 in Q3 and then 110,000 in Q4. So should we think of 110,000 net adds as the new normal in terms of the quarterly run rate, or will there be things on the upside or downside impacting this run rate? Or maybe another way of asking the question is are you seeing more than 110,000 net adds in Q1 2025, or how should we think about the quarterly seasonality of net adds for 2025? Second question is just coming back to mobile EBITDA. You obviously talked a lot about the milestone payments, but you also flagged that there was also changes in terms of the level of bad debt impacting Q4 2024. So can you remind us what the typical level is in terms of bad debt provisioning each quarter in terms of 2024 and are there any signs of increasing consumer pressures or rising bad debts? Thanks.
Christoph Vilanek: Yeah, thanks Polo. I think as I pointed out the 110 if we would add the first three months where Telefonica did not contribute. So if we would have seen the continuation of the Telefonica contribution on the gross add side and also on the net add side, then we would have had another increase on a quarterly basis. I think the 110 is a fair number for, as you call it, a new normal. I think first quarter this year will be not a strong one. I mean we are already in March and we know that we are -- where we are. We are trying. This quarter, we focus on the price increase. During the price increase you cannot do big customer acquisition numbers, as we did last year in the first quarter. So I think seasonality remains as is, first quarter is a slow start, second quarter is a stronger one and so second and fourth are the strong ones whereas the first one will not be a strong one. And that is also, as I just mentioned, driven by a third-party activity such as last year's Paramount+ and Disney+ launches where they are in need of customer acquisition and they are ready to bundle offers. We will also see the change -- during this year we will also see the change of the football rights, live football in summer. Part of the games will switch from sky to the zones. I think that will create an additional momentum. As you know, we provide both of them to our customers. So I think that could be, beneficial for us that we are the one as well as Makedonski is a combination of that. So I think, yeah, new normal of 110 sounds very reasonable to me. And I think on the bad debt provisions, Ingo, you will give an answer?
Ingo Arnold: Yeah, definitely. So I think on the one hand the debt figure was still lower in 2024 than we expected. After COVID, we expected a stronger increase. So it's a question if we are on a new normal level now or if there is still some phasing effect from COVID, but it's long happened, so I do not expect it. On the other hand, if we are more aggressive on the sales side, then I think a normal move would be a slight increase in bad debt. So making the -- I make the answer too long here. I think something between 5 million and 6 million a quarter, this is what I would expect for bad debt in 2025.
Polo Tang: And could you just clarify what the run rate was quarterly in terms of 2024 was around about 4 million or 5 million?
Ingo Arnold: Yeah, correct. Yeah, you're totally correct.
Christoph Vilanek: I mean, if I may add, I mean the fact that we have out of the 10 million more and more of those customers on a monthly basis. So by definition bad debt is not increasing with these people because if they do not pay, we just switch them off. That's a bit different from like if we look 10 years back, the majority had 24 months contracts. And if you did not collect the money in the third or fourth month, you had to decide on how much you put on bad debt and how much you write off. So I think that is also just following the market dynamics and the contractual setup.
Polo Tang: Thanks.
Operator: And next we have a follow up from Ulrich Rathe, Bernstein. Please go ahead with your question.
Polo Tang: Yeah, thanks for allowing follow ups. So just following up here on Polo's question on bad debt. I do remember probably two or three years ago you had a very large provision for bad debt that this was never used. And then sort of you were asked a couple of quarters almost every quarter about, have you released a provision, and then you said, no, we haven't. Could you just tell us where that provision is? Is it being drawn now or is it still sitting on the balance sheet? And how would you sort of provide color on that question. So it's almost like a back to the back to the past kind of question. And then the second question is to Mr. Vilanek, you made much of the supply side platform potential at waipu. Could you comment on progress there and to what extent it is contributing already, if it is? And then my last one is just a clarification. Mr. Arnold, so with it sounds like the main reason for -- so the main impact of the accounting changes really is linearization of the bonuses, right. So do I then assume that in the fourth quarter of 2024, so the one you just reported, it was still an uplift net-net, as a result of the accounting change. Thank you.
Ingo Arnold: Yeah, thank you for your follow ups. On the last point, I think we were already in a steady state with this effect from the linearized MNP bonuses. So therefore there was no relevant effect in Q4 2024. Then your question on bad debt, I think this is it is also a kind of linearization because with the customers step by step leaving also the bad debt what we linked to the customers is leaving. So none of these provisions are still existing. What we were talking about I think in 2021 or 2022. And maybe Christoph, can you answer the question concerning waipu?
Christoph Vilanek: Yes, I mean maybe twofold. First of all, let me explain a little bit what are the challenges on the technical platform, as such. We have had days, evenings recently with about 2 million customers. You can imagine that our big usage we go beyond 600, 700,000 on current users. We are closely monitoring the fallouts and we're talking about 10s and 20s so still very, very, very strong service level. We compare this constantly with our competitors. There's an external monitoring system and it shows that we are much better off than any of the other, you would call it, streaming services, even though it's linear still streaming. So I think the technical platform as such is in full control. We've also installed an ability now to do more telemetrics to collect telemetrics data. I shared with you that we are -- we can basically see what devices are used whether these who are the service providers in terms of IP access et cetera, et cetera. We always had the ability to monitor it, but we are now doing this. We can follow up and historize it on a customer individual basis and we record it which is now allowing us also to do a deeper analysis on not usage but on quality of use. And sooner or later we will also start to use this data to cross sell maybe or to give recommendations to our users on maybe better services that are available for them. That is at an early stage. We are about to launch a new set of box which is very like from the design, very similar to Apple tv. It's coming next month. It has a direct ethernet connectivity. The new remote control is sensitive to movement. So if I'm already testing it which is pretty nice because in the darkness it enlightens itself. So there's a lot of small bits and pieces that we improve on a constant basis. And also form and design factors seem to play a role in the customer decision and I think we are well off to do so. As you mentioned, the advertising, we still do advertising mainly on what we call the fast channels. So it's all the on demand channels that we run. There we do the advertising sales through a supply side platform fully automated with only one single person being in charge. The advertising revenues in 2024 were a bit higher than 20 million Euros. On these channels, we keep about 50% of this. So you can -- it's about 50 cent per month per customer that we generate for ourselves, which I think is a reasonable number, and it's easy to calculate what it's going to be in the future. This is the usage where we do our own advertising or the share of usage which is about 16%. So we have now signed then we have had a test period with [Indiscernible] agreed that we could replace the advertising on one of their channels to targeted advertising. So we were replacing their slot and also sending it. This was a successful test but proceed and said that they would like to continue that, they would like to make use of it, but they would like to sell the advertising themselves and so we don't get a share equal to the fast channel some 50% but we get a smaller share. But they do all the ad sales and we provide the technical service to replace it. This is going to be fully implemented, I think, by 1st of June. And to give you a flavor if you look at the [Indiscernible] numbers, in their recent presentation they said that on a monthly basis [Indiscernible] is creating 400 million add impressions. So it's their own library service. It's 400 million a month and our volume is about the same. So they consider this as a -- and this is on 2 million customers and if we grow further, and obviously this will be more and more. So this is. -- I think this is the way to go. Also with other channels such as RTL, sooner or later they will sell the advertising but we will get kind of like a technical service fee for doing the targeting etc, etc. The platform is up and running, it works perfectly well and we've decided to go that's this path because we do not want to create a big unit for it, but remain a technically enabler and get a fee which is then risk free. Is that answering your question?
Polo Tang: It's very clear. Thank you very much. I think it is a customer -- it's customary to congratulate an outgoing CEO. So no one has done it so far on the call. So it needs to be said. Congratulations for your successful leadership at freenet over the years and wishing you all the best.
Christoph Vilanek: Thank you very much. Thank you very much. Was always a pleasure to talk to you and to you guys. I think the Q1 result most likely still [Indiscernible], but planning is that by the end of the first half year. Robin will take over and continue the success. I hope he will do the same on the stock -- on the share price, as I was in to do with the team over the past 60 years.
Polo Tang: Very good. We're looking forward to that. Thank you.
Operator: And the last question comes from Simon Stippig, Warburg Research. Please go ahead with your question.
Simon Stippig: Hi team, thanks for the opportunity. Two topics from my side. First one would be the share buyback you mentioned in the press release, the 100 million Euros of up to what I want to hear is what determines the size of the full execution of the volume. Or would you also think if there are some parts you consider relevant, that you would not execute the full volume? And then secondly also you mentioned end of March, but then for the actual share buyback, what would be the intended timeline? And second topic would be in regard to minorities, first, this economy stake, do you still see it as a strategic shareholding in the current situation? Or would that view change if there's a change of control event? And then secondly, in regard to the exiting minorities, do you see the shareholding structure here, something you want to keep for the foreseeable future, or could you also imagine to increase your shareholding? Thank you very much.
Christoph Vilanek: Yeah, maybe I start with later question. I think the extreme part, you're perfectly right. There is still a minority with a bit more than 20%. We have taken a decision with the Supervisory Board to review this by summer this year. There is a clause for the minorities to put their shares. So far they don't do it but this is, I would say, under control. It's also a little bit -- this is also a little bit a driver where we want them to make money first and then see whether this really creates the expected EBITDA. But that's a decision that the Supervisory Board will need to review, I think Ingo said, like we look. I think in summertime we will review it. And we do that more or less on a regular, six months basis. The second one is on economy. Honestly, I think we are happy with the performance, is still a very important channel for us. There is rumors of third party interest in the shares. I think we will be -- I would say we are the last seller, if I may say so. We do not want to risk anybody to interpret us when we sell. We would sell shares. People would question whether the channel has lost its attractivity or its power. It's not the case. We think the development of the company is very good. Leadership team is doing a great job. I'm there as a Supervisory Board member in teconomy, involved in all the strategic discussions and decisions. And I'm very positive about the company that the share price is not reflecting it. I mean you're all Experts. This is 62% of these shares are sitting with five shareholders. There's not -- the market cap is too low and the free flow is too low so that international investors will jump on. So I think the value is not or the share price is not reflecting the value. Sooner or later it will be but we -- I would say, I would call it still a strategic investment. And as I said, if, if a third party would give us an offer, we would be the last one to give away our shares for the given reason. And on the share buyback, I think Ingo will give you more details. Our proposal to the Supervisory Board will be that we start with Q2, a share buyback program. We announce it. total volume is announced, but you know, also the restrictions. We can only buy 10% to 15% of daily trade, which is a small volume at the end of the day. And it takes quite a while to position 100 million. But we will not propose any specific terms in the sense of floor or a top stop. This is what we agreed upon, or am I wrong?
Ingo Arnold: Yeah, I think. Simon, thanks for your question. I think if you just calculate it -- I think what we said before is if we pay out 80% of the free cash flow as a dividend, then we use the other 20%. If we have not invested in the business, we will use it to do share buyback. This is what we already announced in November. But if you calculate it, yes, it would be something like 60 million at the moment based on the free cash flow from 2024. So I think we leave here some room with the wording up to 100 million. I think it's based on the development during the year what happens. So, I cannot clarify further, especially not before we took the decision here in the Supervisory Board. I think after it has been taken, then for sure, we will give some more details.
Simon Stippig: Okay, great. Thank you very much.
Operator: And there are no further questions from the audience. I'll hand back for the closing remarks.
Christoph Vilanek: Yeah, well, thanks guys once again for the intense discussion. Thanks for your questions and thanks for the patience listening to our presentation. We thank you for your trust and your support. I think we've all seen that we're still on the path to our ambition 2028 and we look forward to share with you the first quarter 2025 results very soon. And yeah, thanks once again and thanks also for your remark on me leaving, but not leaving before the next meeting. Thank you very much.